Nathan Ryan:  March 2021 Quarterly Report. All attendees are in a listen-only mode. If you'd like to ask a question, please enter it in the Q&A panel within zoom. I will now hand over to Perseus Mining Chief Executive and Managing Director, Jeff Quartermaine. Over to you, Jeff.
Jeff Quartermaine: Thanks very much. Thanks, Nathan. And welcome to this webinar to discuss Perseus's March 2021 quarterly report that was released to the market earlier today. Now, at the risk of sounding like a broken record each quarter, Perseus has recorded yet another strong quarterly performance, increasing production by 29% and providing the clearest indicator yet that the company is willing truly on it's way to achieving it's targeted production rate of 500,000 ounces of gold per year, at a cash margin of US$400 per ounce or more. We completed the commissioning of our third mine, Yaouré, and by the end of March, the mine was cash positive and we're able to declare commercial production from 31 March. This was the last major milestone in the development of this very important project.
A - Nathan Ryan: Thank you, Jeff. Just a reminder, if you'd like to ask a question, please enter it into the Q&A panel within Zoom. Got the first one from Mike Mulligan. He says, "Hi, Jeff. Good to see another strong quarter of production. If you get the grant to the mining license for Fabinso in the June quarter, will that allow time for mining to start in the September quarter? I mean, if it goes on further in regards to gold hedging; do you plan to maintain the 2020 ID profile, i.e. 80% unhedged?" Those three questions.
Jeff Quartermaine: Okay. So just correcting that point; it's not Fabinso, it's Fimbiasso.
Nathan Ryan: Fimbiasso, sorry. I didn't say that, sorry.
Jeff Quartermaine: Yes. No, look, I mean, if we -- we have a wet season upon us now, we started building the road to Fimbiasso last or earlier this year, late last year. So we've done the first leg of it, we now have to wait for a couple of months to let the wet season do its thing, and then we'll finish that road. So we are very hopeful of being able to mine without interruption. But the Ivorian government is difficult to predict in terms of timing, they do have their own important priorities but I can assure people that we have values working extremely hard to bring that forward as early as we can, and to avoid any disruption to production schedules, if that's at all possible.
Nathan Ryan: Yes. And the second one in regards to the gold hedging? Do you plan to…
Jeff Quartermaine: Sorry, gold hedging, yes. No, look, we don't anticipate any material change to what we're doing at the present time. I mean, as people know, our hedge policy does administer hedge up to 30%; so 30:70, we are sitting around the 20% at the moment and see no real reason to change that. But if circumstances were to dictate that it was a sensible thing to do, we might put a little bit more hedging on. But look, we actively manage that position and I think that we have been able to demonstrate over a long period of time now that it is a way of managing downside risk, a significant downside risk for us, and make sure that we can continue to generate cash flows so that we can deal with the benefits that we've promised all of our stakeholders.
Nathan Ryan: Thank you. The next question is from Adam Baker . He's asked can you walk us through what part of Esuajah South underground weren't attractive? Was it due to the higher expected costs or lower grades? And will you publish a new Edikan life of mine plan?
Jeff Quartermaine: Yes. Look, it does -- as I said, what the work we've done recently actually improved our confidence around the technical parameters. So the resource actually -- when we first did the study, the real concern was the risk around the resource, but we've convinced ourselves through extra drilling that, in fact, that risk is not of the high order that we had previously estimated. Now, I think the situation really comes down to commercial matters at the moment. We -- the cost of mining has gone up, and that certainly impacts on what we're doing. There has been an element of fiscal creep, and I guess when we look at the situation, and we say, "Well, we understand what the maximum exposure is, and the risks around it. And we ask ourselves is this the best use of capital in our company in terms of creating value?" And when I say the best, I mean, the best return relative to the risk. And the question -- the answer to that at the present time is that no, we have other ways of deploying capital that will create more value for shareholders, and that's what has driven that decision. Now, as to the second part of the question will be will we be producing an updated life of mine plan? Yes, we will. And that will be published in due course, but it doesn't mean we've -- in fact, we've already looked at that very carefully, obviously, as part of this evaluation. And the point is that it doesn't really impact our production profile that much and we -- and as I said earlier, we do have alternatives that will likely be brought online as a replacement in short order in any event. So, in the overall scheme of things we don't believe that this decision that we have taken now is going to be a big negative as far as the company is concerned. And as I also said, we've put ourselves -- we're putting ourselves into a position where maybe we can change that decision in the future if we can find better ways of doing what we're seeking to do.
Nathan Ryan: Thanks, Jeff. As there are no further questions at this time, I'll now hand it back to you for closing remarks.
Jeff Quartermaine: Okay. Well, thanks, Nathan. Well, look, as I've already said, I mean, we are well and truly on the path to achieving the objectives that we've set ourselves some time ago. We are in exceptionally good shape, right, from an operational point of view, from a financial point of view, and from a growth point of view. And I think that this company is now moving into a very different place to what it has been in the past, and it certainly wants a close attention of all investors, I would think at this particular time. And we're looking forward to delivering further very positive results in coming periods. Thank you very much for your attendance.